Operator: Welcome to the Eastman Chemical Company first quarter 2010 earnings conference call. Today’s conference is being recorded. This call is being broadcast live on the Eastman’s website, www.eastman.com We will now turn the call over to Mr. Greg Riddle of Eastman Chemical Company Investor Relations. Please go ahead, sir.
Greg Riddle: Okay, thank you and good morning everyone. Thank you for joining us. On the call with me today are Jim Rogers, President and CEO, and Curt Espeland, Senior Vice President and Chief Financial Officer. Before we begin I will cover three items. First, during this call you will hear certain forward looking statements concerning our plans and expectations for second quarter and full-year 2010. Actual results could differ materially from our plans and expectations. Certain factors related to future expectations are or will be detailed in the Company’s first quarter 2010 financial results news release on our website and in our filings with the Securities and Exchange Commission, including a form 10-K filed for 2009 and form 10-Q to be filed for first quarter 2010. Second, except when otherwise indicated, operating earnings, earnings per share and cash flows from operating activities referenced in the call and in the slides accompanying the call exclude restructuring charges and the impact of the adoption of amended accounting guidance for transfers of financial assets. A reconciliation to the most directly comparable GAAP financial measures and other associated disclosures including a description of the restructuring charges and the impact of adoption of amended accounting guidance for transfers of financial assets available in our first quarter 2010 financial results news release and the tables accompanying the news release. Lastly, we have posted the slides accompanying our remarks for this morning’s call on our website at www.investors.eastman.com. You will find them in the “Presentations and Events” section. With that I will turn the call over to Jim.
Jim Rogers: Thanks, Greg and good morning everyone. Thanks for joining us. I am going to begin on slide 3. Beginning with an update on some of the outlook statements we made on the call back in January. For first quarter EPS we told we expected to be slightly above the $1.14 we reported in the fourth quarter and since then we had an outage at our Longview, Texas site which negatively impacted our results. We were able to more than offset the impact of the outage with strong volumes, improved mix and a strong March. I will talk more about the quarter in a minute. Next we told you we projected our full-year 2010 EPS to be 20% higher than our 2009 EPS of $3.63. I will talk more about our expectations for 2010 EPS when I get to the outlook but given our strong start in our first quarter we expect to be well above this projection. We also told you we expect to generate more than $100 million of free cash flow in 2010. This is on top of the $320 million of free cash we generated in 2009. Although we used cash in the first quarter due to a working capital build which is reflective of our strong revenues, given our expectations for strong earnings performance we expect to more than meet this objective. Curt will walk you through this in more detail in his section. We told you that we expected to recognize earnings from a acetyl license in the first half of 2010. This happened in March. This license along with the license we have with Chang Chun Petrochemical in Taiwan is a recognition of the value of our acetyl co-production technology. We have told you we expect to make progress on joint ventures and acquisitions in 2010. We have. In March we announced the completion of an acetate tow manufacturing plant in Korea the is owned by our joint venture with SK in which we have a controlling interest. Also in March we announced we entered into a definitive agreement to acquire Genovique Specialties Corporation which will strengthen our non-phthalate plasticizer business in the PCI segment. Next is a review of our financial results for first quarter 2010. As I mentioned we were more than able to offset the impact of the outage at our Longview, Texas facility. Revenue increased 39% year-over-year. Volumes increased 22%. Part of the increase is a comparison to depressed demand in first quarter 2009 obviously but it also reflects the benefit of growth initiatives in areas like specialty plastics. Our operating margin increased to 12%, up substantially year-over-year and up 1% sequentially. The increased earnings reflected the higher volumes, improved capacity utilization and the resulting lower unit costs and a positive shift in product mix. The net impact of both the acetyl license revenue and the outage at the Longview facility is about negative $0.15 per share; that is the net. I would also add we had good momentum in the quarter with March being our strongest month. Turning to the segments, starting with fibers. What a great business. Fiber’s operating earnings in the quarter tied their quarterly record set in the third quarter 2009 and we have now set a record in four of the last five quarters. Revenue, volume and pricing were all similar to first quarter 2009 levels. Operating earnings increased due to the slight increase in prices in higher acetate yarn utilization and first quarter 2009 acetate yarn utilization was around 30%. In the first quarter 2010 it was in the mid 80’s. As I mentioned, the 27,000 net ton acetate tow facility in Korea started up in the first quarter and we are making good progress qualifying material with customers but there will be somewhat of a headwind from the new capacity in 2010 as we fill it out. We expect this will be offset with the stronger acetate yarn volumes and as a result we expect 2010 operating earnings to be similar to the $300 million reported in 2009. Next up is CASPI, another great business. The biggest story for CASPI is the rebound in volumes, up 34% year-over-year. The volume increase is due to the comparison against depressed volumes in the first quarter 2009 and some inventory restocking. They also upgraded their mix mainly due to an increase in volumes for their specialty coalescent and specialty polymers particularly in Asia Pacific. Operating earnings increased substantially year-over-year but were down $11 million sequentially. The sequential decline was due to the $10 million impact of the Longview outage and some margin compression. Operating margin was 18% and excluding the impact of the outage would have been 20%. Looking forward, given their strong start to the year and expected continued strong results in the second quarter they have a good chance to set a new operating earnings record in 2010 above the $242 million they reported in 2006. PCI is next. Revenue increased substantially, up 58% year-over-year. Volume was up due to the comparison against depressed levels in the first quarter 2009. We are also benefiting from tightness caused by planned maintenance and competitor outages in ethylene and [inaudible] in Asia. Selling prices increased to offset higher raw material and energy costs and product mix improved due to increased volumes of higher priced olefin derivatives and sales revenue from the acetyl license. Operating earnings improved substantially year-over-year due to the higher volume and price, improved product mix and the sales revenue from the acetyl license. The negative impact of the Longview outage and the revenue from the acetyl license mostly netted out to zero for PCI. Looking forward we expect tightness to continue in a number of our olefin derivatives and for sales volumes to remain strong. As a result, we expect our full-year operating earnings to be above $125 million, more than double our 2009 operating earnings of $54 million. I would also like to make a comment about all of the hard work our employees in Longview did to limit the impact of the outage we experienced in the quarter. Of course you never like to have an outage like this, but when you do it is great to know there is an experienced group that limits the impact and gets us back to serving our customers. That is why we have such a great reputation for reliability. Specialty plastics is next. Their story is very straight forward. Volume has recovered with the economy and their growth initiatives are beginning to pay off. Sales revenue increased 59% year-over-year due to higher sales volume and improved product mix. Volume was up 50% year-over-year and 20% sequentially and set a new quarterly record for the segment. For reference, year-over-year volume increases for competitive materials such as polycarbonate, acrylic, [ADS] and others were probably between 5-20% according to [CNAI]. We are starting to see the benefit of growth initiatives in polyesters and areas such as shrink film and handled food packaging and adoption of our new Tritan copolyester is ahead of schedule due to the product properties including higher temperature resistance and the fact it is BPA free. Product mix improved as we had higher volumes for our cellulosic plastics for LCD screens and we are now benefiting from a recovery in this market. Operating earnings increased substantially due to the higher volumes, higher capacity utilization and improved product mix. Looking at the full-year we now expect operating earnings to be above $60 million for the year. I remind you this includes about $7 million of cost per quarter, $30 million a year of fixed costs related to Tritan capacity. Turning next to performance polymers. Operating results for the quarter were a loss of $13 million compared to the loss of $14 million in the first quarter 2009. The slight improvement in operating results was due to higher selling prices and improved operation of the IntegRex facility which were mostly offset by higher raw material and energy costs. Looking forward to the second quarter we are continuing to focus on upgrading our commercial footprint and improving our mix of customers. We made good progress in the first quarter and we expect this progress will be reflected in our results in the second quarter. At the same time, the PET market in North America continues to be difficult with lackluster demand and capacity being added. Taking this together we expect results in second quarter will approach break-even. Most of you have probably seen the news release we issued before the call this morning announcing we’re reviewing strategic actions for our performance polymer business. We have hired Bank of America/Merrill Lynch for the strategic review and you have heard me say on many occasions that we have taken no-regrets actions to improve the performance of this business. These include improving our operational performance and upgrading our commercial footprint. We have made good progress in these areas and as a result I believe this is the right time to determine whether or not Eastman is the highest and best owner for this business. We are targeting completing this effort by the end of this year. Turning next to regional performance. Given our very strong corporate results it is probably not a surprise that we had strong regional results. You will see that our revenue and volume growth year-over-year was strongest outside of North America. Asia revenue was up 60% with a 34% increase in volume. A favorable shift in product mix also contributed 16% to the revenue growth. The biggest contributor to the revenue growth was specialty plastics. This was a combination of cellulosic plastics for LCDs and higher volumes for Trident copolyester. CASPI was also much stronger particularly in their specialty polymers and specialty coalescent product lines. Revenue in our European region was up 55% with volume up 28%. Strength was particularly good in the CASPI, PCI and specialty plastic segments. The improvement in product mix was due in part to revenue from the acetyl license here. Latin America revenue increased 66%, off a smaller base of course, and with this improvement largely in performance polymers. That brings me to our guidance for the second quarter and the full-year. We are seeing clear signs of a global recovery in our volumes. We have seen it in our first quarter results and we expect it will continue in the second quarter. I would also mention that our visibility while still limited has improved slightly. Our results of the higher volumes is that our capacity utilization has improved, leading to lower unit costs. We also expect volatility in raw material and energy costs to continue. Looking at the second quarter we expect EPS will be between $1.50 and $1.60. This outlook includes approximately another $5-10 million of residual costs for the Texas outage that will fall in the second quarter. For the year, given our first quarter results and our expectation for a strong second quarter we expect full-year earnings per share to be between $5.00 and $5.25. Before I turn it over to Curt let me take one minute for executive spotlight. My choice this quarter is heavily influenced by two trips I have recently taken. The first trip was to Brazil where I went to Sao Paolo and [inaudible]. The second trip went around the world through Rotterdam; Zug, Switzerland; Dubai; Riyadh; Singapore; Shanghai and yes I am still a little jet lagged. On both of these trips I was very impressed with and proud of our regional leaders. Those of you who attended our Investors Day will remember when Carlos Parodi, [Mass] and Michael Chung. These three leaders are not only quite talented but have a depth of experience in their regions. Carlos has responsibility for Mexico and everything south and many of the opportunities he and his team are working on are in Brazil, a country of tremendous potential for Eastman. Our Europe, Middle East and Africa region just turned in a fantastic quarter and [inaudible] team is focused on continuing that success by pursuing opportunities in Eastern Europe and the Middle East. Of course they will work on integrating the Genovique acquisition in Estonia. Finally, I take a great deal of comfort that we have someone with Michael Chung’s abilities and customer contacts to head the important region of Asia. Supported by strong teams in Singapore and Shanghai, we expect continued strong growth in this region as well. Typically I would pick only one exec for the spotlight but given our international results this quarter I hope you can understand how I thought it appropriate to recognize our three regional leaders. Now I will turn it over to Curt.
Curt Espeland : Thanks Jim and good morning everyone. I am going to start by reviewing our first quarter 2010 financial highlights on slide 13. In the first quarter we used $25 million of cash in operations. This excludes the impact of adopting amended accounting guidance for the transfer of financial assets. The result for Eastman in adopting this accounting change is $200 million of receivables previously accounted for as sold and removed from the balance sheet when transferred under our receivables securitization program are now included in the balance sheet in the first quarter as trade receivables. As a result, receivables were increased in the first quarter 2010 cash flow statement reducing cash from operations by $200 million. Aside from the adoption of this accounting guidance receivables increased $214 million due to increased sales revenue. Free cash flow for the quarter was a negative $88 million excluding the impact of adoption of the accounting guidance, reflecting the increase in working capital during the quarter. Our net debt to capital now stands at 42%, up from the end of the year namely due to adoption of amended accounting guidance. Turning next to growth. As the global economy recovers and our volumes and capacity utilization increases we have a number of capacity additions that have and will contribute to our growth. One example is our 2009 Regalite expansion in Middelburg, Netherlands. Regalite is used in a wide variety of hot melt adhesives, polymer compounds and plastic modifications which are used in end markets such as disposable deckers. We expanded capacity by approximately 30% in 2009 alone and have increased capacity by 65% since 2006. This expanded facility is currently running at a high rate due to strong customer demand for this product and we are considering additional expansions. Another example is the 30kmt Tritan copolyester resin facility that was completed at the end of 2009. You may recall that in addition to the resin capacity we built monomer capacity for Tritan to support 60kmt of resin capacity. You heard from Jim that adoption of Tritan is happening quicker than anticipated. As we fill out their first resin facility we will consider when to add a second 30kmt resin line to meet growing market demand for Tritan. A third example is the 27kmt of acetate tow capacity in Korea that was completed this quarter to meet growing demand in the Asia Pacific region. We have a controlling interest in the JV that owns this facility. It represents about a 15% increase to our acetate tow capacity and while we won’t see much of the benefit in 2010 as we qualify product with our customers we are well positioned for growth in 2011. Another capacity addition for Eastman not on the slide is the acetic anhydride capacity we will market as a result of our acetyl license with Sipchem. In addition to completing the license with Sipchem in March we will now market up to 50kmt of acetic anhydride from their facility in the Middle East. In addition to these capacity additions we are looking at a number of other opportunities for organic growth throughout the company. For example, we are evaluating an expansion of our CTA capacity for the LCD market that was postponed in 2009 due to the recession and we have a history of finding low cost and bottleneck opportunities with our manufacturing streams. Eastman is fortunate to have multiple opportunities for organic growth. In addition to the Korean acetate tow joint venture we are also looking to grow through acquisitions. In mid-March we announced we are entering into a definitive agreement to acquire Genovique Specialties shown here on slide 15, a leading producer of non-phthalate plasticizers. Our current plasticizer product line in the PCI segment is expected to generate approximately $300 million in revenue in 2010 with roughly double digit operating margins. As a reminder, our current general purpose plasticizers are used in flexible PVC applications. The Genovique acquisition is expected to add more than 50% to our existing revenue base with complementary specialty plasticizer product lines and is expected to have operating margins above those of our existing business. The transaction is expected to be accretive in 2010 including transaction costs. Looking forward the compound annual growth rate for non-phthalate plasticizers in North America and Europe is expected to be approximately 7% over the next five years. Our expanded geographic footprint with manufacturing sites in Estonia and China will provide growth opportunities in emerging markets. The transaction is expected to close any time now and we will provide more details after the close. As we have discussed in the past we are focused on four areas of emphasis with our joint venture and acquisition activities as summarized on slide 16. The Genovique acquisition is an example of how we can achieve multiple aspects of these areas of emphasis in a transaction. It has manufacturing locations in emerging geographies. Non-phthalate plasticizers are differentiated products and viewed as green and sustainable by the marketplace. And it benefits from some backward integration to basic raw materials. As we look at additional JVA opportunities we remain focused on these four areas of emphasis. I would add the market looks more attractive to us today than it did six months ago. Turning next to slide 17, we remain committed to returning cash to stockholders. Our last dividend payment was the 64th consecutive dividend we have paid to stockholders. In addition, in the first quarter we repurchased $20 million of shares. Our remaining authorization is $75 million and we expect to repurchase shares over the coming quarters primarily as a means to offset dilution. Turning next to an update on our expectations for free cash flow. First, consistent with our guidance we are expecting strong business performance. We are also expecting working capital for the year to increase but consistent with our seasonal patterns it will be a source of cash in the second half of the year. Although first quarter capital expenditures were low on a historical basis, we continue to expect they will be in the $250-275 million range as expenditures ramp up for the remainder of the year. This includes spending on growth initiatives and incremental capacity additions. As you know, we remain committed to our solid dividend. The net result is we expect to generate between $200-300 million of free cash flow in 2010. In conclusion, Eastman continues to be well positioned for growth in 2010 and beyond. EC has taken action to create value from our balance sheet with organic growth initiatives, joint ventures and acquisitions and share repurchases. We will continue to be disciplined as we implement growth initiatives to create value for stockholders. Thanks for your attention and your interest in Eastman Chemical Company. With that I will turn it back over to Greg.
Greg Riddle : Thanks Curt. This concludes our prepared remarks. Operator, we are ready for questions.
Operator: (Operator Instructions) The first question comes from the line of Kevin McCarthy – Bank of America/Merrill Lynch.
Kevin McCarthy – Bank of America/Merrill Lynch: Specialty plastics looked like the best earnings since the first half of 2005. Can you talk a bit about how much Tritan is contributing to that, if at all, given the start up costs? Also, how large is the cellulosic plastics business these days for LCDs and what is your outlook there?
Jim Rogers : Thanks for giving me the opportunity to talk about specialty plastics. As I said before I love this business and you are finally getting to see what I get to see all along. I will take it in order. Tritan is really doing well for us and is exceeding our expectations in terms of the demand out there and it is driven by its performance characteristics as well as of course it is BPA free. We’re getting good traction particularly in Asia where a lot of the products are molded. You see that in our Asia results. You are not really seeing a positive impact on earnings. In fact the costs, as we ball parked for you are around $7-7.5 million of fixed costs a quarter. The way we look at our volume ramp up it is probably not until sometime next year that Tritan actually has a positive EFO impact. So you are seeing these results are still overcoming negative numbers for Titan as it ramps up. So that means the rest of the business is actually better than the net number you see. One of the things the rest of that business is doing quite well now is displays. We are a little bit up the value chain from some of the other players that report who are closer to the actual flat screen maker but now it is catching up with us. So we see that continuing as well. I will say with specialty plastics we know of certain cases where some volume was pulled forward into the first half of the year so that is why I just didn’t take four times the 20 and say the year will be 80. I think we ball parked it around 60. We know some of that volume got pulled forward. Overall a great story in specialty plastics.
Kevin McCarthy – Bank of America/Merrill Lynch: I think you made a comment you experienced some strength in the month of March. Can you comment on what you have seen so far in April? I know the subject of utilization rates is sometimes a difficult one to address but maybe you can talk about where you are seeing the highest utilization, or highest variances would be a better way for me to phrase it, relative to your prior expectations?
Jim Rogers : I can talk a little bit about monthly and also utilization rates. On the utilization rates, we started doing that when the world fell apart because we wanted to give everyone some kind of benchmark and some kind of thumbnail sketch or something they could use to just get a grasp of where we are and even based our 2012 projection of $6 and we said that was based upon getting back to full utilization rates which kind comes with the recovery rates. So it is not ideal as we talk about utilization rates. I just want to make that clear to people. One of the things you miss is that as our utilization rates go up we always have the opportunity to start upgrading our mix. That is what we typically will do. As utilization rates get higher we will start upgrading our mix and then we will start adding capacity. So that is kind of what you ought to be expecting out of Eastman. If you just look across our streams though to give you an answer on utilization rates, acetyl is the highest as you might expect. The olefin stream of course was you might say artificially low in the first quarter because that is where the cracker outage was. Polyester would be in between. Overall for the corporation we were kind of mid 80’s in the first quarter. If I look at the months, it is not a good practice to start giving monthly results. We like to do it by quarter but we thought it was worthwhile for investors to know that the quarter ended on a strong note and I can say that is continuing into the second quarter which is what we said in our remarks.
Kevin McCarthy – Bank of America/Merrill Lynch: A clarification on the Longview outage and the acetyl license. I think you said it was about $0.15 per share on a net basis. Am I correct in understanding that it would be $0.20 on a gross basis at Longview and positive $0.05 for acetyl? Is that about right?
Curt Espeland : The way to look at it, just to break that $0.15 impact you had about $25 million in costs associated with the Texas facility. An additional $5-10 million you will see in the second quarter. Then revenue from the licensor was $12 million benefit.
Operator: The next question comes from the line of Jason Miner – Deutsche Bank.
Jason Miner – Deutsche Bank: As you look at some of the mix improvements that happened this quarter as demand came back I wonder if the growth might come from lower margin products? I know you said upgrading the mix as time goes on but is there a chance some of the higher margin stuff snapped back and that might be a headwind to incremental margins over the coming quarters?
Jim Rogers : I guess that is always a chance. We will see. I think the bigger driving force will be how successful are we with the upgrade in the mix. If you just take your choices, you are running your acetyl stream hard, your flywheel is going to be selling acid in the North American market but then to the extent you can upgrade that into other derivatives you will. That is going to have a more powerful impact. If you get over to the olefin stream, there it is maybe more the case you are talking about where there may be a fly up in more of the commodity side. Overall we are pretty optimistic and pretty bullish that we have a good mix going. If anything I would say there is a little more risk on the margin compression in terms of just following the laws and the pricing. That is where we are paying a lot of attention and that is what we are going to be focusing on. Assuming the volumes stay strong and keep coming back to the economy which is of course a big assumption then we are really going to have our work cut out for us to make sure we do our best to having pricing following raw and energy, maintain that margin. I am a little less worried about a negative mix effect. Like I said, historically typically we will be able to work on the mix and improve the mix as the volumes come back.
Jason Miner – Deutsche Bank: Since you touched on pricing, given you have seen raw run up somewhat early in the year do you see a headwind to margins going forward or do you think you can stay ahead of the raw material increases with pricing power next quarter?
Jim Rogers : We will see. We already had some of that pressure in the first quarter. So like on CASPI we got squeezed a little bit on the margins there because of that. Of course you don’t typically get into individual price increases but not just us, the whole industry is trying to be fairly aggressive not to get burned this time as raw move. So putting polyester aside for a second because that is always a whole other story with the PET and paraxylenes I think the rest of our businesses are probably going to be able to do pretty well pricing versus raw and energy.
Jason Miner – Deutsche Bank: I appreciate the walk through on all the organic growth and CapEx opportunities. Given the faster growth in Asia I wonder if there is not an opportunity to deploy the balance sheet to support some more organic growth there. Could you just talk about is there further opportunity to delve into Asia?
Jim Rogers : Oh yeah. I just got back from Singapore and Shanghai. I don’t know how to describe it but there is a multitude of opportunities there. Things like our Tritan product are really just getting traction there. I can only imagine how good the demand and the growth for that is going to be there especially our products in CASPI. It is the exact same thing. You know what is going on. Eastman has products that give certain performance characteristics. A lot of times they save labor or higher quality and therefore as the middle class grows and they can afford say better paint, for example, they are going to do that because labor costs more to paint in 3 years versus 5 or 7 years. So they are going to use our products for better product to save labor. You can just see that happening. The same thing switching to disposable diapers from cloth diapers, etc. I could give you a bunch of examples. I can only see good things coming for our business in Asia.
Jason Miner – Deutsche Bank: Would you be interested in serving that from outside the region or actually building out assets in the region?
Jim Rogers : We are. I took that as the gist of your question. I will try to back up but if you are going to nail me down exactly. We want to do both. We would be comfortable having more assets there. The acquisitions, we have done two acquisitions that have assets in China and we would like to do more.
Operator: The next question comes from the line of P.J. Juvekar – Citigroup.
P.J. Juvekar – Citigroup: Currently natural gas prices are relatively low and oil prices are high. Based on that how is the profitability of your coal based production compared with that? Also, talk about your propane based propylene.
Jim Rogers : You are kind of seeing it aren’t you? That is the way it was in the first quarter and you are seeing the profitability. We are very competitive being coal-based in Tennessee. I don’t care if natural gas is $4 or $8. We are still quite competitive where we are with our Tennessee operation being coal-based. I guess I would have to say the same thing about propylene. You know what is going on in the world with ethylene and propylene with propylene being made in Japan and all that kind of stuff. That is not a negative for us is really all I want to say about that. I think the proof is in the pudding. You are seeing it in our results.
P.J. Juvekar – Citigroup: Is there a way to quantify this advantage?
Jim Rogers : I probably would not want to even if I could. It is an advantage. I think we demonstrate that over the years. There is probably some way you could do some R-squared going back on our results versus someone else’s results but we have not tried to.
P.J. Juvekar – Citigroup: You received $12 million in license on acetyl. Are you trying to sign more acetyl licenses like Sipchem? Can you give us your thoughts there?
Jim Rogers : Yes and we do have another one right now as I think I mentioned in my remarks. CTP in Taiwan where we would expect an additional payment either end of this year or beginning of next year I think for that one. We are trying to be very strategic about it. We are not just licensing anybody and everybody. We are trying to be intelligent about it. We have a game plan. We look to do one typically every couple of years. That is not a commitment or a guarantee. That is just on the acetyl side. Of course we have a licensing effort in the [oxers] and we have a licensing effort with IntegRex as well. I think about the licensing stream of income as starting to become fairly steady. You can count on a little each year but it is frankly not big enough, it is an effort that is very worthwhile to do but it is not big enough most analysts try and focus on it.
P.J. Juvekar – Citigroup: Your volumes in CASPI PCI were up around 40%. I am trying to figure out how much of that was easy comps versus inventory build in this quarter.
Jim Rogers : A lot of it was easy comps. I don’t know how you would kind of nail it down exactly but just look back at what you are comparing it to. I never would have thought they would be as low as they were first quarter last year so part of that huge percentage increases have to be that. I can also tell you we are trying to be very up front that some of the performance this first quarter has to be some inventory rebuild. It is hard to know how much because frankly demand came on so strong I think a lot of people are having trouble building their inventories. I know there are places where we want more inventory and we just can’t catch up and get to the inventory level we want. While I know it is going on, I don’t think it was a huge part of the performance this quarter.
Operator: The next question comes from the line of Jeff Zekauskas – JP Morgan.
Jeff Zekauskas – JP Morgan: Your free cash flow estimate of $200-300 million is that before dividends or after dividends? Does that include the Genovique acquisition?
Curt Espeland : Our definition of free cash flow is just our operating cash flow less our capital expenditures and less our dividend. So yes, it does include the dividend. It does not include if we put that cash to work on acquisitions like Genovique.
Jeff Zekauskas – JP Morgan: Is the capacity utilization at Tritan 30% or below? Is it above? Where is the utilization of that?
Jim Rogers : It is quite low right now. So without an exact number, just to remind you we have a monomer plant at 60ktm. We did a first polymer plant that is 30kmt. It is that first polymer plant we would expect we would fill that up sometime next year. Originally it would two years to fill it up and now we are saying it will probably get filled up sometime during 2011. So that gives you a sense of how the polymer line is running as well as you see the monomer plant the big one that is running at a very low utilization rate right now.
Jeff Zekauskas – JP Morgan: So if I wanted to buy say a pound of Tritan polymer…
Jim Rogers : We will sign you up.
Jeff Zekauskas – JP Morgan: I offered you $0.75 for a pound of polymer, would you sell it to me?
Jim Rogers : I doubt that.
Jeff Zekauskas – JP Morgan: Because the offer is too high or too low?
Jim Rogers : That is because we don’t know you. If you are asking what price we are selling the Tritan for I guess you could just call up the customer service desk. I don’t have the quote and it probably depends on where you are in the world and what kind of customer you are. I can tell you the demand is great right now. It is exceeding our expectations and we are very pleased.
Jeff Zekauskas – JP Morgan: Lastly, with acetate to, all things being equal once you get your Korean facility working right should the operating returns of that facility or that product be similar to the operating returns of your other acetate tow operations?
Jim Rogers : I would say similar. What is going through my mind right now is the trade offs are the logistics of where that plant will sell. So it will sell in Asia and so it will have an advantage logistically to say a North American asset or a working asset for serving Asia. It won’t have the scale we do back here in Tennessee. The flight comes from Tennessee. It is a little hard to trace through. It is going to have a good return on the asset. I would assume it is not quite as good as what we do here in Tennessee but it will be just fine. In particular it will serve our customers in Asia and that is what we wanted to do and keep them happy.
Jeff Zekauskas – JP Morgan: In PCI your number for the year is around $125 million. If you annualize your first quarter results I guess you get somewhere close to $150 million. From your point of view why do you expect your returns though high to ebb a little bit in the course of the year?
Jim Rogers : I guess for PCI and for a number of the businesses a couple of things. One we seasonally are a little heavier in the first half of the year than the second half and we are trying to reflect that historic norm. That has held true more years than not and we think it will probably hold true again this year. That is part of it. Part of it is we know of specific things that pulled sales forward from the second half to the first half, more so in plastics than in PCI. We know there were some outages in the PCI arena. Some other competitors were down the same way we were down except we have a license fee to offset ours being out. We just kind of roll all that together and say the first half of the year is going to be quite good. The second half of the year will fall off.
Operator: The next question comes from the line of Sergey Vasnetsov – Barclays.
Sergey Vasnetsov – Barclays : I want to ask you your thoughts on dividends. On slide 17 [inaudible] paid it for 16 years. However for 13 years of the 16 it was at $1.76. Even more [inaudible]. As Eastman becomes more stable and growing with free cash flow plus the PET giving you strong results and the improving economy, etc. I realize it is the board’s decision but I was curious what are your thoughts on the dividend?
Jim Rogers : Before Curt answers the dividend let me just correct you a little bit. Our announcement said we hired a banker and we are looking at our alternatives. We will see what the best alternative is for Eastman in terms of whether we exit the business, sell the business and whatever alternatives might be out there. This isn’t a case where we have to sell. I am expecting we will have strong interest but I am straight up when I say we will determine who the highest and best owner of this business is. It could very well lead to a divestiture but that is not what our statement said. I will let Curt talk to the dividend.
Curt Espeland : As you mentioned the board does decide our dividend policy but from the standpoint of options we look at ways to put our strategic cash to work. We talked about the four buckets across growth as well as how do we return cash to the shareholders. We do look for ways to return cash to shareholders in the most efficient way possible. Right now our dividends build is a nice solid a little over 2.6-2.7%. That still benchmarks relative to the company. We will look at different ways to return cash to shareholders but right now the dividend seems to be in a good place.
Operator: The next question comes from the line of Frank Mitsch – BB&T Capital Markets.
Frank Mitsch – BB&T Capital Markets: Back at our conference a week before the end of the quarter you put out a press release saying the Longview outage, the Longview plants are back online and the $0.20 to $0.25 negative impact will be mostly offset by better sales and margins. Obviously instead of mostly you should have used more than or way more than offset by sales and margins. What happened?
Jim Rogers : Thanks for pointing that out, Frank. We had two months under our belt. To be blunt we were surprised how strong March was. We also didn’t know exactly how bad the cracker outage would be. We just missed it. March came in noticeably stronger than we thought. You are seeing the results of that.
Frank Mitsch – BB&T Capital Markets: I would imagine that you get financial data more than just on a month basis, more frequently than that. Am I incorrect on that?
Jim Rogers : You are not incorrect. You don’t really [inaudible] to a bottom line more frequently than that. We don’t want guys jumping through hoops trying to grind out numbers every 5-6 days to what end. We are concentrating on making money not counting it. Cut us some slack. It is not like we were sitting on a noticeably higher number and we just said that.
Frank Mitsch – BB&T Capital Markets: That is fine. As long as you have them jump through hoops for quarter end that is fine. I hear you there. Talking about M&A I think the comment Curt made was you are seeing a better market right now. Can you talk about orders of magnitude in terms of what you think the sort of bolt-on range that EMN is comfortable with?
Jim Rogers : Curt may comment on this too but when we say a better market I think we are meaning we see more opportunities. There are more things shaking loose and we are starting to get some traction with the pipeline. Let’s put it that way. I am not sure the valuations look any different to us. We are still going to be just as picky as we have ever been. We really like this Genovique thing. The more we get into it and the more we see it, that one by the way I think is going to close the end of this month or so. We would love to do more like that. We would love to do some a little bit bigger than that and that means a few hundred million dollars.
Curt Espeland : I will just comment similar to what Jim said. Our pipeline is improving. There is a variety of opportunities we are looking at. There are different orders of magnitude. We are going to again remain choiceful and I do agree with you the Genovique transaction for an example is not only how well a transaction can be aligned with our strategy for a growth area like you are seeing with our non-phthalate plasticizers but it is also a way we can also look at financial returns and find acquisitions that are accretive even out of the gate.
Frank Mitsch – BB&T Capital Markets: As you talk about your strategic review, the PET business, how do we think about the linkages between that business and your specialty plastics business in terms of the difficulty you might envision should PET be no longer part of the portfolio? Could that be a stumbling block or not really?
Jim Rogers : I don’t think that would be a stumbling block. We have obviously thought this through for a long time before we would make this announcement. We know the business is divisible. Yes specialty plastics as an individual business will have to see how it deals with its intermediate stream and capacity utilization. Of course it is growing nicely so it is one of these things where it will grow in to some of the intermediates that now go to PET. I think we can scale the business we are left with if we decide to divest PET. We can scale it such that it is not going to be a major issue for Eastman.
Operator: The next question comes from the line of Andrew Feinman – Iridian Asset Management.
Andrew Feinman – Iridian Asset Management: Do you have any friends that run other companies I can buy stock in? Friends like you?
Jim Rogers : I appreciate it. It is going to be interesting to see how the rest of the industry does. I tell you, we have seen a strong…but I do feel and I am not trying to be immodest but I do feel like there is a number of places where we are gaining share and in particular I think about within specialty plastics where I know we are growing faster than the polycarbonate and acrylic boys. We are keeping our heads down and doing our best.
Andrew Feinman – Iridian Asset Management: This year your free cash flow if we include the acquisition and the dividend is something like $260-360 million. You take out the dividend of $130 million and the acquisition of around $70 million. That gives you $260-360 million. You spend some of that on buying back stock. I don’t know exactly, I haven’t figured out how much. What do you do with the rest of that money?
Curt Espeland : I am not quite sure of your math but I think as it looks to, we have a good balance sheet. We have debt of roughly $1.2 billion. We have cash sitting on our balance sheet and as we have talked about before we are going to generate positive free cash flow not only this year but for the next couple of years.
Jim Rogers : Let me chime in. Here is what we are looking at right now. The first quarter we held the CapEx down pretty low, around $30 million or so. That is not a typical number. That was us being really tight as you would expect us to do. Now is the time as we are seeing these volumes come back we have to be really looking across the company here and deciding where do I need to add capacity and only add it in the places where you know the demand is there and it makes sense because it is better to run it close to full and be a little slow on adding capacity, especially with our company where we can upgrade the mix in our stream. So the first thing we are going to be doing with cash is making sure especially on our specialty products we don’t run out of capacity. You are going to see us starting to add some capacity in some key areas. The second thing is we are going to continue to look at the acquisitions particularly things that have an international bent or emerging markets or a sustainability bent but above all absolutely really good financials such that they are accretive. We really like the thought of adding things to the portfolio that then add additional cash flow so we can grow even faster.
Andrew Feinman – Iridian Asset Management: You mentioned when we were talking about PET you mentioned the process would be complete by the end of this year. So I was wondering if that means that you are going to announce something by the end of this year about what your decision is or if that means the deal will be done by the end of this year whatever deal that might be?
Jim Rogers : We are going to have to see. We have hired the banker. We will see what the response is to our announcement. My guess is when I get back to my desk here in about 10 minutes I am going to have some phone slips on there where people are contacting me about the announcement this morning. I would expect the process will proceed at a fairly good pace. We will be able to get a feel in the next few months of who the highest and best owner of the assets are whether it is Eastman or somebody else and then we will see how fast we can get something done if that is the choice we make. I just want people to know we don’t feel like there is a clock ticking on us. We are going to do the best deal possible for Eastman. We are not working against any clock. We just tried to ballpark it for people that we would expect something to happen this year.
Andrew Feinman – Iridian Asset Management: Can we take 2012 now and move it to 2011?
Jim Rogers : I like the way you think but let me just back up and give the logic again. You can make your own determination. We said 2012 back at Investors Day what we did was we said we thought we could do about $6 per share when we are back to running in those low 90’s, full kind of recovery level. We guestimated that recovery would be in 2012. To the extent the recovery happens faster or we reach those levels faster then yes the earnings should be there faster. But it is hard for me to guestimate how 2011 and 2012 are going to go. We just got three months out of a 12-month year under our belt so I don’t want us to get too far ahead of ourselves.
Operator: The next question comes from the line of Jeff Zekauskas – JP Morgan.
Jeff Zekauskas – JP Morgan: In your free cash flow guidance of $200-300 million why is the range so big?
Curt Espeland : Part of it is as Jim talked about we are three months into the year. Part of it also depends on how volumes perform in the second half of the year so we can get a feel for how much working capital changes right towards the end of the year. If sales are strong at the end of the year then we are going to have more receivables and less operating cash flow. If sales come off a little bit then we will have more cash flow. So it is mostly how working capital and how sales perform at the end of the year.
Jeff Zekauskas – JP Morgan: In your footnote it says this excludes the first quarter impact of the adoption of the accounting guidance on receivables. Why should we exclude that? Why shouldn’t we include that?
Curt Espeland : I think what we are trying to show is just what is our cash flow generation potential. That $200 million of strategic cash is still available any time we want to. It is just in the form of a line of credit rather than having those receivables come back on our books. I will leave it to you whether you want to include it or exclude it. The reality is our cash flow generation and the amount of strategic cash we have to put to work is the same.
Operator: The next question comes from the line of Amy Zhang – Goldman Sachs.
Amy Zhang – Goldman Sachs: My question is really related to the specialty plastics business. Back at the last of November at Investor Day you had put out a financial target for this business by 2012 of $100-125 million on segment profit line. It [might be a perception] of being that target might be a little too [stretched] and this is a show-me story. But obviously in the first quarter you did some very good job of $21 million on the EBIT line. How do you feel about the momentum of this business and how can you convince the market this momentum you have in the first quarter is sustainable and your target on the specialty plastics business by 2012 is fully achievable?
Jim Rogers : We just have to put more quarters together. Very much we believe it is an achievable target. In fact we are pushing the business to see how quickly they can get there. A lot of it has to do with Tritan and if Tritan continues its momentum such that the $30 million drag we will have this year when that goes away you can just put that into the numbers as well. It is starting to get easier for people to see how we get to that $100-125 million. The strength of the core businesses is real. The shrink film, packaging film, what is going into the displays marketplace is very real. Most people don’t expect that to slow down. They think that is going to continue to be quite strong. We are looking at adding capacity in this business. The real proof in the pudding again is going to come from starting to stream some quarters together for people so they can see it for themselves.
Amy Zhang – Goldman Sachs: Can you remind us if there is any seasonality associated with this segment? Is there any significant concerns about the raw materials and obviously that one of the things people are worried about going forward?
Jim Rogers : There is some seasonality because there is a big chunk of the specialty plastics business that goes into packaging so in that regard typically your fourth quarter is your weakest quarter. First and second are better quarters. Maybe second and third may be the best quarters. Again, we knew specific things why this quarter was fairly strong. We pulled some customer sales forward into the first quarter but the underlying trends are solid. This is a business that is heading towards $100-125 million and because of Tritan I can easily see a path to get there as it swings from a negative to a positive. Paraxylene is always a concern for especially plastics. It is more of a specialties business. A lot of times the pricing isn’t quite as transparent. If the raw goes up you raise your price and if the raw goes down you lower your price. I think the guys are doing a noticeably better job on doing that right now and also I think the pressure some of the other competing materials are under you can kind of see how often we are winning just by looking at our volume growth. You can see we are winning when we come head to head with the other competing materials. That is something we always have to watch for. Can your pricing keep up with the raw, but right now I think we are doing a pretty good job.
Operator: That is all the questions we have at this time. I will turn it back over to you Mr. Riddle.
Greg Riddle : Thank you. Thanks again everyone for joining us this morning. An audio replay of the conference call will be available on our website this afternoon through May 3rd. Have a great day.
Operator: That concludes today’s conference. We thank you for your participation.